Operator: Good day, and welcome to the Essex Property Trust First Quarter 2018 Earnings Call. As a reminder, today’s conference call is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risks and uncertainties. Forward-looking statements are made based on current expectations, assumptions and beliefs as well as information available to the company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found on the company’s filings with the SEC. [Operator Instructions] It is now my pleasure to introduce your host, Michael Schall, President and Chief Executive Officer for Essex Property Trust. Thank you. Mr. Schall, you may begin.
Michael Schall: Thank you for joining us today, and welcome to our first quarter earnings conference call. John Burkart and Angela Kleiman will follow me with comments, and John Eudy is here for Q&A. I will comment on three topics: our first quarter results and outlook for 2018, regulatory matters and investment markets. Our first quarter results were stronger than expected, with significant improvement from a challenging second half of 2017. As note at the Citigroup conference in March, these results were better than our 2018 plan because of higher occupancy and other income, which John will discuss in a moment. Market rents for our portfolio grew 3.8% from year-end to the end of the first quarter versus 3.1% in the same period last year and are mostly consistent with our market rent growth expectations for the year. Job growth was relatively stronger in the first quarter, with Essex markets achieving 2.2% job growth on a trailing 3-month basis versus the U.S. average of 1.5%, with most of the outperformance emanating from the tech markets. This growth is notable considering the tight labor market conditions, which are demonstrated by ultralow unemployment rates, averaging 3.4% in the Essex markets and 4.1% for the U.S. We are encouraged by the strong start to the year and we’ll reevaluate our MSA forecast on Page S-16 of the supplemental next quarter. The positive job growth has been achieved in part from migration from other areas, indicating the ability of local employers to source and retain skilled workers. The Bay Area continues to be a net attractor of talent, especially from high-cost East Coast metros. This trend is highlighted in the monthly workforce report published by LinkedIn, which details migration patterns of workers within LinkedIn’s network of more than 130 million users in the U.S. On Page 16 S-16.1 of the supplemental, we have reproduced a visual from the report that illustrates migration in and out of the Bay Area over the past 12 months. This supports our view that the number of educated workers moving into the Bay Area continues to outweigh the number departing. The Bay Area and Seattle remain among the most innovative and dynamic economies in the world, which compete successfully for high skilled workers. Wage growth continues to improve as the skilled labor shortage intensifies. Estimated personal income growth for 2018 for our West Coast metros ranges from 4.6% to 6.5% compared to 4.1% for the nation. Affordability pressures are relieved when wage growth exceeds rent growth as it has recently. This has led to a reduction in rent-to-income ratios year-over-year in all of the Essex metros. As cited in the Wall Street Journal, a recent study by Up for Growth National Coalition analyzed America’s housing shortage and proposed potential solutions. The study acknowledged the widespread nature of housing shortages for the U.S. in the 15-year period ending in 2015 affecting 23 states. In total, the study indicates the nation has produced roughly 7 million fewer housing units than needed to keep up with economic growth over that period. California, in particular, has the largest shortfall, consisting of nearly half of the total under produced housing or roughly 3.4 million housing units. The chronic shortage of housing in California and related problems of traffic congestion and long commutes remain key issues on the West Coast. Turning to supply. Our multi-family supply projections for the Essex markets remain unchanged on S-16 of the supplemental, and the impact of deliveries across submarkets vary widely. As a result, we continue to expect periodic disruption to pricing power and stabilized communities when the -- when multiple lease-ups in a submarket offer concessions exceeding 6 weeks of rent. At this point, we expect supply to be mostly flat in 2019 versus 2018 with an increasing share concentrated in downtown submarkets. Factoring in shortages of labor, strict land-use regulations, construction costs rising faster than rents and more conservative construction lending, residential construction appears to be slowing even though permits have continued at a strong pace. We are seeing many examples of residential developments being put on hold as the economics don’t pencil. This supports our belief that the construction pipeline has peaked in our markets and supply will slowly taper off over the next several years. On to my second topic, regulatory matters. I wanted to provide an update on California’s proposed referendum that seeks to repeal the Costa-Hawkins Rental Housing Act that will likely appear on the November 2018 ballot. As you may recall, Costa-Hawkins, in part, restricts local jurisdictions from enacting rent control on any apartments completed after February 1995 and mandates that vacated apartments be priced at market rates. When the law was created in 1995, a primary consideration was that cities with extreme forms of rent control, including San Francisco, Berkeley and Santa Monica, produced minimal housing -- minimal rental housing after enacting rent control ordinances in the 1970. In passing Costa-Hawkins, California’s legislature thought to increase the production of rental housing to counter shortages and affordability issues, especially in cities that failed to contribute to the housing needs of the state. The California legislature recently considered Assembly Bill 1506, which like the proposed ballot measure would have repealed Costa-Hawkins. AB 1506 did not get passed the committee level in 2017 and again earlier this year. We believe that the legislature clearly understands that abolishing Costa-Hawkins could result in even greater shortages of housing in California, which could be a major headwind to business expansion, and thus, economic growth. The significant issues and unintended consequences of rent control have been researched and documented in great detail by the academic community and California’s government. This includes a 2017 study of San Francisco rent control by the faculty of Stanford University and a 2016 report by the Legislative Analyst’s Office. These studies conclude that rent control is a contributing factor to housing affordability issues, mostly due to shortages of housing. Rather than elaborate here, we refer you to links to both studies on the Internet at savecostahawkins.org. We will continue to provide periodic updates on regulatory issues in the future. And my third topic, investment markets. The demand for apartment property remains healthy. And as a result, we have seen no change to cap rates in our markets despite higher interest rates. For example, we are currently in contract on a disposition that is likely to close in the second quarter at a low 4% cap rate. This transaction and other recent sales support our belief that cap rates have not changed. A quality property and locations continue to transact around the 4% to 4.25% cap rate used in the Essex methodology. B quality assets and locations are generally 25 to 50 basis points higher, though often contemplate upside from redevelopment and/or value-add activities. As noted last quarter, we continue to see a slowdown in the preferred equity pipeline. This is consistent with my earlier comments that cost increases represent a headwind to new development. We continue to believe that we will be close to our target for preferred equity commitments this year. As of quarter end, our total commitments for preferred equity and subordinated debt investments aggregated 395 million. That concludes my comments. Thank you for joining the call today, and I will turn the call over to John.
John Burkart: Thank you, Mike. We’re off to a good start in 2018 with year-over-year NOI growth of 3.6% and revenue growth of 3.3% for the first quarter. Our strong revenue growth was favorably impacted by an additional 60 basis points of occupancy over the prior year’s period and higher-than-expected utility reimbursements due to timing and increases in the underlying utility expenses. Strategic adjustments made by the operations team led to increased occupancy through the promotion of short-term lease extensions, which led to fewer move-outs and an increase in month-to-month leases. Turnover in our portfolio dropped to 40% on an annualized basis in the first quarter of 2018 compared to 46% in the prior year. Part of the reduced turnover relates to the Executive Order signed by Governor Brown as a result of the devastating California wildfires, which effectively limited rent increases on all California housing to 10% above the price in place when the order was signed in October of 2017. It has been extended for selected counties directly impacted by the wildfires through the end of the year. We are working to ensure that we comply with the law where applicable, and we expect that it will impact operations in selected markets. Our operations strategy will continue to change with the market conditions. As we enter peak leasing season, we expect occupancy to decrease while turnover increases, as is typical for this time of year. Preliminary April 2018 results already show that our strategy is playing out as our year-over-year financial occupancy is only 30 basis points over the prior year’s period versus 60 basis point increase we achieved in Q1. In April, scheduled rent grew at approximately 2.3% and gross revenues grew at approximately 2.7%. April results indicate a sequential decline in revenues, a significant but expected slowdown from the first quarter. Overall, the Essex markets are performing as expected with Seattle a little weaker and SoCal a little stronger versus our expectations. Moving forward, we expect to see more typical seasonal pattern in rent growth, which is assumed as part of our 2018 forecast. Now I’ll provide an update on our markets. In Seattle, job growth continued to be the strongest in the Essex portfolio, posting year-over-year growth of 3.2% for the first quarter of 2018. This is the highest growth the region has seen since the third quarter of 2016. However, the impact to supply is evident in the rental market. Rents in March 2018 are slightly below where they were in the prior year’s period, and there was a gain to lease of 1.1% as compared to a 3.1% loss to lease at the same time last year. In Downtown Seattle, WeWork signed leases totaling 250,000 square feet. On the east side, Microsoft continued to expand their footprint in Downtown Redmond. Seattle MD has roughly 4.8 million square feet or 5% of the space currently under construction, nearly half of which is already preleased. Seattle median home prices continued to gain momentum, increasing almost 17% year-over-year for the month of March, making it the second fastest-growing region in the Essex portfolio, only surpassed by Bay Area markets. Our year-over-year same-store revenues for the first quarter of 2018 were 4.8% in the CBD, 4.2% in the east side submarkets while the north and south submarkets grew by 5.1% and 5.4%, respectively. Moving on to Northern California. In the first quarter of 2018, job growth in San Francisco Bay Area averaged 2.4% year-over-year with roughly 75,000 jobs added. San Jose led the way with 2.9% job growth while Oakland and San Francisco were up 2% and 1.7%, respectively. Market rents in the Bay Area were up 2.5% in March over the prior year’s period leading to a loss to lease of 2.2%. In San Francisco, WeWork continued their growth trend, signing the largest year-to-date lease in the city for 250,000 square feet in the downtown area. Moving down to the South Bay. Facebook preleased 1 million square feet of planned office space in Sunnyvale. Google continued to acquire land near the Diridon Station, purchasing a site approved to build 1 million square feet of office space. In total, the company has invested roughly $300 million in that central San Jose submarket. Additionally, Google continues to expand in the Silicon Valley submarkets, having purchased 3 industrial buildings in North San Jose and 2 additional properties in San Jose and Mountain View. Silicon Valley and San Francisco markets have approximately 9 million square feet of office space or 6% of the total office stock under construction. Roughly two thirds of which is preleased. Median home prices in the Bay Area continued to soar, led by San Francisco and San Jose gaining approximately 20% and 33%, respectively, in March 2018 over the prior year’s period. The San Francisco and San Jose median home prices are now over 30% higher than their prior peaks in 2007. During the quarter, we started a lease-up of Station Park Green Phase 1, located in San Mateo with six-week concessions on selected units. As of April 26, we are 40% leased. Our year-over-year same-store revenue growth for the first quarter of 2018 was led by our Fremont and Oakland submarkets with 4.8% and 4.0%, respectively. Heading down to Southern California. Job growth in Los Angeles County in the first quarter of 2018 averaged 1.5% year-over-year, which was in line with the U.S. Market rents increased 2.3% in March over the prior year’s period and loss to lease was 1.6%. Leasing activity by tech and entertainment companies remained strong in West LA with several leases from high-profile tenants, including another lease by Amazon Studios, expanding their Culver City presence for content production. As discussed last quarter, the downtown CBD submarket continues to be challenged with elevated levels of supply, causing our same-store LA CBD revenues to decline 1.1% in the first quarter of 2018. However, other Essex submarkets less impacted by the downtown supply performed much better in the first quarter of 2018 compared to the prior year’s quarter with revenue growth ranging from 2.7% in Long Beach to 5.1% in Woodland Hills. In Orange County, job growth improved in the first quarter to 1.9% year-over-year, a 20 basis point increase from Q4. The impact on supply on market rent is evident with market rents only increasing 70 basis points in March over the prior year’s period and loss to lease was 40 basis points. Finally, the San Diego MSA continued to perform well, recording year-over-year job growth of 1.9% in the first quarter of 2018. Market rents increased 2.1% in March over the prior year’s period and loss to lease was 1.4%. Revenue growth in the first quarter of 2018 was between 3.6% in Chula Vista to 5% in the Oceanside submarkets on a year-over-year basis. Currently, our portfolio is at 96.8% occupancy and our availability 30 days out is at 4.5%. Our renewals are being sent out at about 4% for the second quarter overall. Thank you, and I will now turn the call over to our CFO, Angela Kleiman.
Angela Kleiman: Thank you, John. I will start by discussing our first quarter results and increase to the full year guidance, followed by recent investment and capital markets activities and conclude with a balance sheet update. For the quarter, core FFO exceeded the midpoint of our guidance by $0.05 per share. This is outlined on Page 4 of our press release. $0.02 of the outperformance is related to timing of operating and G&A expenses and is not expected to reoccur. The remaining $0.03 resulted from revenue growth realized during the quarter primarily due to our occupancy strategy, as John commented earlier. With this backdrop to our first quarter performance, we now expect the first half of 2018 property -- same-property revenue growth to be higher than the second half of the year. Also in the first quarter, we declared a quarterly common dividend of $1.86 per share, which is a 6.3% year-over-year increase. This represents 24 consecutive years of dividend growth and keeps us on track to become a dividend aristocrat in 2019. Moving on to the 2018 guidance. We are increasing the midpoint of same-property revenue growth guidance for the year by 15 basis points, thereby increasing the NOI growth by 20 basis points to 2.7% at the midpoint. This increase is primarily driven by first quarter performance, which also enable us to raise core FFO guidance by $0.02 per share to $12.46 at the midpoint. For the second quarter, we are forecasting core FFO per share of $3.05 at the midpoint, which is $0.04 lower than the first quarter. This is largely caused by two factors. First, interest expense will be higher in the second quarter due to the $300 million bond issuance closed in March, which had little impact to the first quarter results. And second, we are anticipating lower NOI growth in the second quarter as we shift strategy to favoring rent growth over occupancy coupled with higher operating expenses as we enter the peak leasing season. Note that both items are timing related and are consistent with our plans for the full year. Turning to investments and capital market activities. During the quarter, we continue to enhance shareholder returns through our joint venture platform with the amendment of BEXAEW entity by realizing a $20.5 million promote income. Last year, we stated our plan to monetize the embedded value within our private equity platform. Since then, I’m pleased to report that we have monetized nearly $60 million of promote income. This is consistent with our track record of structuring unique transactions to maximize value while maintaining a disciplined and thoughtful approach to capital allocation. Lastly, onto the balance sheet. During the quarter, we issued $300 million of 30-year unsecured bonds at a 4.5% coupon. The proceeds from the bond offering were used to repay secured debt maturities in 2018. With this offering, we have completed the most significant refinancing needs for the year. As Mike mentioned earlier, we are under contract to sell one property. The proceeds from that sale will substantially provide for our 2018 development projects. Therefore, our need for additional capital in 2018 is de minimis, subject to new investment opportunities. With $1.2 billion of availability on our line of credit and 26% leverage and limited near-term debt maturities, our balance sheet continues to be strong and well positioned. That concludes my comments, and I will now turn the call back to the operator for questions and answers.
Operator: [Operator Instructions] Our first question comes from the line of Rich Hill from Morgan Stanley.
Rich Hill: I want to go back to one of the comments that you mentioned at the very beginning about population migrations. It’s one of the first times that I’ve heard you or your peers talk about this, and I’m sorry if I missed you talking about it previously. But I was hoping you could elaborate on that a little bit more. We’ve heard some comments that San Francisco just doesn’t have enough people moving there, and so I’m curious how sustainable do you think those population migration trends are. And obviously, it’s probably a little bit of a zero-sum game. So are they moving from one market to another market? How are you thinking about this?
Michael Schall: Rich, thanks for the question. I think it was invigorating. And I’m playing off of some of the other comments that were made on some other calls. But no, what we’re trying to demonstrate is whether the West Coast metros are competitive with the East Coast metros, and that may be countering some of the facts that you see out there with respect to U-Haul rates in and out of California and similar type things. What we think is happening is that we are attracting more than our fair share of the more skilled, highly skilled and highly compensated worker and perhaps losing some of the lower skilled and lower compensated workers, and we think that’s a normal process, normal evolution. And we’re obviously very concerned about whether our metros are competitive with other metros around the U.S. because employers have choices about where they’re going to locate. And so the competitiveness of the U.S% of the California markets are really important. And so we look for evidence that supports that basic thesis, and the LinkedIn information seemed to make a lot of sense. And if you go into the report we’ve published on S-16.1, the San Francisco metro movement in and out, but they go beyond that and they look at some other metros as well. So you can go, on to that report. But it really comes back to are these metros, the West Coast metros, competitive, are people willing to come here. And obviously, housing costs matter, but also compensation and opportunity matter as well. And making sure that we’re competitive with respect to that is something that we think is really important.
Rich Hill: And just one quick follow-up question. I think it’s an important distinction, but are you guys seeing these population migrations because of jobs? Or is there job growth because of population migrations?
Michael Schall: Well, I think it’s a bunch of different things. I think competitiveness of the industry is where the best opportunities are being created, and that’s why we think that the West Coast metros and specifically the tech markets, when you look at the job growth that was created, the outperformance of jobs relative to what our expectations were this year, it’s clear that the tech metros are attracting a lot of talent and bringing people here, confirmed by the commercial construction in the San Francisco, San Jose and Seattle metro areas, the office construction being a pretty good proxy for what’s going to happen a year or two down the road. So again, we’re looking for things that confirm whether the West Coast metros are attractive. And obviously, migration patterns, job growth, all these things put together to determine whether these metros are being successful and competing for talent.
Operator: Our next question comes from the line of Nick Joseph from Citigroup. Please proceed with your question.
Nick Joseph: Maybe just following up on that. Looking at out-migration from San Francisco, do the trends make you consider expansion in the Portland, Denver, Austin? And then what would you need to see to decide to expand?
Michael Schall: Clearly, Denver has -- is, I think, attractive. There have been a number of other multi-family companies that have made movements into that market. We have been invested in Portland, and we are looking at that once again. It’s a relatively small market. And the cost of for-sale housing is less expensive, and therefore, the transition from a renter to a homeowner can be a little bit of a headwind, and actually, I’d say both Denver and in the Portland market. I mean, our basic mandate is go to areas that have the don’t produce enough housing and where the housing choices, for-sale housing versus rental, that the for-sale side makes it a challenge to transition from a renter to a homeowner. So that has been -- served us well over a long period of time. Those are the markets we primarily look for. And so there are a couple of markets that are interesting. But I think that they would be a step-down relative to what we have in the markets where we’re currently invested in.
Nick Joseph: And then if Costa-Hawkins were to be repealed and I recognize that rent control is not immediately enacted, how do you think about your current portfolio positioning in terms of cities more prone to enacting rent control? And then is there anything you can do to proactively mitigate any impact?
Michael Schall: John Eudy is here. I’ll make a couple of comments. And if John wants to add to it, that would be great. It’s obviously virtually impossible to determine the financial impact of Costa-Hawkins. Obviously, Costa-Hawkins would enable local jurisdictions to adopt rent control measures. And we don’t know which cities might do that nor do we know the severity of their rent control ordinance. So without those 2, it would be very difficult to determine the impact. I think that as the old saying goes, as California goes, so goes the nation. And we may be the leader with respect to some of these rent control issues, but I don’t think that we’re the end of that. There was a proposal in Washington as well to repeal the statewide ban on rent control. We’ve seen that in a number of other states. So I think this is part of a broader trend. And so we’re -- it’s not something that is going to immediately cause us to change direction with respect to our portfolio allocations.
Operator: Our next question comes from the line of Jeff Spector from Bank of America.
Jeff Spector: My first question is on supply. I feel like your comments on ‘19, I think you said basically equal to ‘18, is that new? I thought previously you were saying down, maybe even last quarter you said down 25%. Has that changed?
Michael Schall: We worked down 25% last quarter. And so it was a smaller number but we did think it was declining next year relative to 2018. I think what happens is you get to the end of the year and we moved about almost 4,000 units from 2017 to 2018. And we have not yet moved units from 2019 to 2020 assuming that these delays continue, which is probably likely. And so again, we talked on the last call and have talked more recently about the difficulty in pinpointing exactly when the deliveries happen and how they play out. So we are -- so there could be a small decrease in 2019. We’re just not sure. The numbers are really hard to pin down. And therefore, our best guess is that over the next couple of years -- we’re looking at permits as well. Over the next couple of years that there will be a reduction, a slowdown, but it will be relatively small. We don’t see any major drop-offs, although there are pretty significant increases and decreases if you look at each metro. And for example, the Bay Area will be down in ‘18 and it will grow a little bit in ‘19. And so those types of variations will happen. So we think the trend is still down. We think that a lot of the permits are likely to get pushed back given the comments we made earlier about the relationship between rents growing somewhere around 3% and construction costs growing in the high single, low double-digit range. That obviously is not a good thing for residential construction. And so we think the trend is down but probably not by huge amounts.
Jeff Spector: Okay. And then my follow-up is just trying to get a feel for 2Q and peak leasing season given the strength that you saw in 1Q. And I know you’ve said in the past that 1Q typically sets up 2Q, 3Q. Would it be fair to say at this point are you driving rents in your markets as we enter April -- as we finish April and enter May? Can you say any general comments?
John Burkart: Yes. This is John speaking. So as I mentioned earlier, we gave out some information on April, and things are playing out as we expected. We are following the market. Now the market overall, big picture for the portfolio was up a little bit less than 2% year-over-year, so April ‘18 over April ‘17. And we’re making the best of our situation there as we follow the market. It’s working out according to plan. We reduced our vacancy as we’re looking to optimize our position. The markets are solid. We’re expecting that this year, we have a standard seasonal pattern whereas, last year, we had a -- the markets peaked a little bit early. So this year, we expect the seasonal pattern to be normal. We were benefiting a little bit by going into the peak leasing with higher occupancy, which was ultimately part of our plan to do what we could do to position our portfolio well to maximize our returns this year.
Operator: Our next question comes from the line of Austin Wurschmidt from KeyBanc Capital Markets.
Austin Wurschmidt: With respect to kind of the expectation for the standard seasonal pattern in the back half of the year and you referenced significant improvement early in the year versus the second half of last year, how should we think about the deceleration throughout the year? And when would you anticipate stabilization in sort of the second derivative of revenue growth in the second half this year?
John Burkart: Sure. Let me try to address that. This is John again. So the big move that you’re going to see is really related to our occupancy. We largely did very well in Q1 because we had higher occupancy, as I mentioned, 60 basis points over the prior year’s quarter. We expect that to go down. Our plan is that our occupancy will be materially consistent with last year at about 96.6%, and so that will be the big change. Our expectations for rents really haven’t changed in our S-16, which is 2% to 3%. And right now, we’re at about 2%. The difference between last year and this year is we do expect the curve or the peak leasing to continue through the midsummer or late summer period as it historically had. And so we’ll start to benefit, we expect, by locking in higher rents, but that really will benefit ‘19, not ‘18. Did that answer your question?
Austin Wurschmidt: Yes. No, I think that covers the gist. And then as far as LA, you mentioned it being a little bit stronger with weakness mostly in the CBD, which probably doesn’t come as a huge surprise. When would you expect some of that supply to leak into West LA? Or would you?
John Burkart: You mean the impact of the supply to leak into West LA?
Austin Wurschmidt: Yes, correct.
John Burkart: Yes. It’s been interesting to watch -- I watch the different submarkets. Obviously, downtown LA has tremendous demand. There’s an awful lot of jobs there and more than there is supply. So the supply -- ultimately, everything will balance itself out. The quality of life in downtown LA continues to improve, and people like that. But there is a lot of supply going in that location right now. Small for the overall county, you’re less than, what, 0.5% overall supply in LA, but nonetheless, a lot of downtown. So they are pulling from different markets. And we’ve watched the impact in different submarkets. It’s interesting that sometimes it will be Pasadena, Glendale area; other times, Torrance area; other times, out in Woodland Hills. It seems to move around. I can’t explain that movement. This quarter, it happens that our Tri-Valley area and Woodland Hills are stronger and the Long Beach area is a little bigger. But it does seem to move around. So we’re actually seeing the impact of that over the last 1.5 years or so kind of rotating in the different markets. But in the end, again, the demand is significantly in excess of supply for the overall market. So it’s just a matter of people making adjustments in their lives and moving downtown, which is a very desirable place and getting better and better each day.
Austin Wurschmidt: So I think you referenced last quarter 77% of the new supply is West LA and downtown. How does your portfolio break out into kind of those two submarkets, I guess, and then versus the supply broken out between those two submarkets?
John Burkart: I don’t have the numbers exactly in front of me, but it’s -- a big portion of our portfolio is impacted by the downtown as well as the West LA. No doubt about it, and that’s why I had brought that up last time. So yes, we are impacted. You see that in our numbers, no doubt about it.
Operator: Our next question comes from the line of Dennis McGill from Zelman & Associates.
Dennis McGill: First question, just want to go back to the comments on the same-store revenue growth. Last quarter, you had said that the first half of the year would be weaker than the second half of the year, and then that flipped today. But it sounds like the approach you took on occupancy is exactly what you expected going into the quarter. So can you maybe just bridge what drove the difference in the cadence for the year?
Michael Schall: Sure. So our expectations for market rents, we’re just trailing a little bit in where we expect the market rents to be. Our expectations on scheduled rent, the rent roll, are really spot on. The real big change was in occupancy, and that all really came together at the end of the year as a combination of factors from concession strategy that we launched as well as working to ensure that we do whatever we can from a community perspective as it relates to the fires, related to the Executive Order that was signed and, of course, comply with the laws. So all that together meant that we ended up lowering our prices on a month-to-month and increasing our month-to-month about 1.3% across the portfolio as well as we restricted renewal. And again, I mentioned on my comments that our turnover went from 46% down to 40%. So all of that kind of came together from the end of the year and then into the first quarter and gave us a benefit of the occupancy. But the market overall is really operating consistent with our expectations and our scheduled rent is. At this point in time, we’re watching as we expect our occupancy decline. And so it’s really not a change in our expectations for the year. It’s just we ended up with some extra occupancy Q1 and adjusted our guidance accordingly.
Dennis McGill: And then bigger-picture question just on the supply dynamic. You noted the new supply not penciling or new opportunities not penciling, but at the same time, I think you purposely talked to some of those academic studies or I think just what we all realize is the shortage of housing in general. So those two things don’t necessarily seem to go well together. If we have a shortage of housing and I’m on the side of high cost in one form or another, it doesn’t seem like I’m going to lower my cost anytime soon. So what would be the breakage, what causes costs to go down in that environment? Or if I’m a developer, said another way, why wouldn’t I look past those short-term issues if I feel there’s a shortage in front of me?
Michael Schall: We happen to have a developer in the room in Mr. Eudy, so he can answer that. But I would say, John, how many times in the 30 years you and I have worked together have we seen cost overall go down for new development? I mean, I don’t think ever, right?
John Eudy: Well, in the recession, it went down dramatically [indiscernible] the growth in recession...
Michael Schall: Okay. So that’s perhaps the only significant and that was driven mainly by the construction. The general contractors have very little to do and they want to get something started, so they’re willing to do it at very low profit margins. I guess, I contrast that with what see now, which is commercial construction booming, various types of residential booming, dramatic undersupply housing. And that’s driving construction costs again at around this 10% increase, which, again, there’s an imbalance here. And it doesn’t appear that the mend of that issue is anytime or is close to being at hand. So we would agree with you.
Dennis McGill: If you could look at that, those prior cycles, have elevated costs ever been the catalyst to slow supply?
Michael Schall: Of course. Of course. I mean, many times. Many times it’s been -- it’s caused supply issues. And in fact, it usually does when, again, we all realize the development is more risky than just buying buildings and putting a loan on them. And therefore, we require a premium because things don’t always go as we planned them to go in a development deal. And so the question is and I think you’re starting to see that now. When you start having some of these issues, rents don’t grow as fast as you hope or as fast as your pro forma expected and costs are going up, then your margins are being squeezed. Some landowners decide to go ahead at what would be considered to be a subnormal risk premium on those deals that has put more equity into the deal and they make those transactions move forward; as opposed to the other option, which is essentially putting them on hold and hoping that things get better down the road. And so that’s typically what happens. And we’re seeing a number of deals that really from the market-clearing threshold don’t hit the margins -- risk premiums that are typical in the industry, but they’re moving ahead, anyway. I’d say that in general, that is a limited -- that happens on a limited basis and pretty soon people run out of additional equity to throw into their deals to make them work. So I think we’re in that middle ground where the market is trying to deal with these forces, again, construction costs going up faster than rents and NOIs. And so we see deal flowing. That’s the primary reason that we’re looking at preferred equity deals and we’re looking at other development deals. It’s pretty challenging to make a transaction work.
John Eudy: A couple of other comments. At this stage of the cycle, too, exactions and city requirements and takes on -- additional fees tend to go up. So you have that coupled with hard costs and items that Mike mentioned that make it more and more challenging to economic and make a deal make sense.
Operator: Our next question comes from the line of Drew Babin from Baird.
Alex Kubicek: This is Alex Kubicek on for Drew this morning. My question is a little bit of a follow-up to what we were just talking about with the general transaction market as a whole. It sounds like it’s tough to make things taper and attractive for you. But where do you guys see the incremental opportunities that you guys can take advantage of to hit your 2018 targets for the rest of the year?
Michael Schall: Well, this is Mike, and that’s a great question. It’s a little bit unclear. In the first quarter, obviously, the stock traded off pretty considerably and we thought that the better transaction or the better capital allocation was to buy some shares back. Now that the stock has recovered somewhat, somewhere around NAV, let’s say, ordinarily, we would look more to our co-investment platform in that scenario to make deals work. There were 20 deals in the first quarter that were in our marketplace that would generally have satisfied our overall transaction parameters. So there are deals out there. Again, when we have stock trading at a discount to NAV, we’re going to pursue that as opposed to buying deals at market. And so I guess, where we are now is probably relying on the JV platform to make deals. And if there’s significant changes in either direction, in the stock price, then our expectations can change pretty dramatically and pretty quickly.
Alex Kubicek: Kind of just as a follow-up, do you foresee this Costa-Hawkins uncertainty overhang causing any general shift in the next, call it, nine, 12 months in underwriting expectations on both the acquisition and the disposition side?
Michael Schall: It’s hard to anticipate exactly what’s going to happen there because you have interest rates that are thrown into the equation as well. And interest rates right now, let’s say, where we’ve gone from an environment we had, very strong, significant positive leverage on acquisition transactions to maybe a smidgen of positive leverage. So I don’t think that’s a negative factor, but it’s not a positive factor. I don’t think -- again, 20 transactions, most of them in California that closed in the first quarter, doesn’t seem to indicate that Costa-Hawkins is impacting or concern about Costa-Hawkins is impacting the transaction market. As we get closer to November, perhaps a little bit. But again, it’s still -- Costa-Hawkins does not mean rent control is going to automatically happen. And even if it does happen, the severity of rent control and which cities continues to be notable questions and important questions in the overall dynamics. So I think it’s still a little bit early to tell. And again, I’d just step back from it and look at -- California has huge housing shortage. You have the legislature in this AB 1506 that I talked about on the call that is pretty clearly not -- or concerned about the overall housing shortages in California, and it decided not to push forward with the repeal of Costa-Hawkins. And it seems like there are some forces out there that it’s too early to conclude that it’s going to have pervasive effects. But again, I don’t know at this point in time, and we continue to monitor the situation closely.
Operator: Our next question comes from the line of Alexander Goldfarb from Sandler O’Neill.
Alexander Goldfarb: Mike, maybe just following up on the rent control. Just one, is it your understanding that single-family rentals would be -- are part of the rent control proposal or they would be separate? And also, from what you guys have -- in your speaking with folks out there in California, what’s your sense if you had to handicap -- is your sense that enough people understand how rent control will actually be a negative as far as curtailing development and raising and increasing un-affordability? Or is your sense from how the polling is going that the sentiment is building to pass an overthrow of Costa-Hawkins?
Michael Schall: Yes. John Eudy is here and he spends a tremendous amount of time and has really led the industry in this discussion. So John, do you want to take that one?
John Eudy: Sure, Mike. First on your first question on single-family, the repeal measure that is going to the ballot, it appears, does include removing the exemption of single-family. So yes, if passed, single-family would be exposed to having rent control applied to it, which is a big -- one of the big proponents for us because it means the majority of the rental units, as you well know, in California are mom-and-pop owned and smaller local-owned entities and they have a lot to lose. And that brings the attention to the ballot measure in a wide way to be in our favor to oppose it. Generally speaking, we’ve been working on this pre-campaign for about 9 months before it officially got put into play in January. And they just recently collected enough signatures to technically qualify this to the Attorney General right now office to get to the final legs by the end of June. But we believe from a policy perspective, clearly, the legislature gets it. That’s why it never made it out of committee at AB 1506. And we also know that every academic study that’s ever really been done on rent control understands the unintended consequences that it actually hurts those that it supposedly is intended to help. So we’re pretty encouraged that -- with our initial polling and how we’re going to be managing the campaign. We’re actually going to push this back, and at the same time, come up with, at the tail end, ways to bridge the gap on affordability issues at the lower and middle end of the range because that’s really where the problem is. Rent control per se, the reason Costa-Hawkins was enacted in 1995 was because it stopped housing and the last thing you want to do in housing production. So we’re fairly confident that we’re going to get there and message it through. And if it does go to the ballot, which it appears it will, that we will prevail.
Alexander Goldfarb: Okay. And then the second question is, you guys mentioned -- John, I think you mentioned that some of the emergency rent -- things are still -- in some -- in effect through the end of the year in some submarkets. But you also mentioned that your policy in the second quarter is going to focus more on boosting rent versus occupancy. So can you just sort of give a color for how much of your portfolio is still impacted by the 10% limit versus how we think about you guys boosting rents and having occupancy drop off in the second quarter?
John Burkart: Sure. Let me give a little bit of a broader answer to that, Alex. First off, the number one county that is impacted that we operate in is in Ventura. So it’s less than 5% of the company that would be directly impacted. However, we’re -- anywhere where we think there would be an impact, we would want to work with the community. It’s what we do. Essex has always been interested in the work with the communities. So if there were assets -- we just haven’t found situations where there’s people that have been impacted by the fire that are moving in or around or near our assets. As it relates to the change, I wouldn’t call it policy, but it’s more of a -- how we operate seasonally. Seasonally, the rents in our market in the portfolio grow from January a low or December a low, up about 5% to 6% and then down -- back down. And so we modify our operational strategy based on the season. And so it’s best to emphasize occupancy during the, you might say, slower season and emphasize meeting the market on rents at the higher season. But again, we’re in a situation where our rents are moving overall, as I mentioned, year-over-year about 2%. We expect them move about 2% or 3% this year. So it’s a minor adjustment, but it will impact our occupancy in Q2. Does that answer your question?
Alexander Goldfarb: Yes. So it’s just Ventura County? That is the only one that is affecting you guys?
John Burkart: It’s the main county. I mean, there’s a few other bits and pieces here and there, but it’s the main thing. Big picture, it’s about under 5%.
Operator: Our next question comes from the line of Steve Sakwa from Evercore ISI.
Steve Sakwa: A lot of my questions have been asked and answered. I guess, Mike, in Seattle, there’s this head tax that is potentially coming through the legislature, and it seems like Amazon has put the brakes on some development and maybe that’s just posturing on their part. But I’m just curious how you sort of think about that and how you maybe think about some of the risks in Seattle over the next six to 12 months?
Michael Schall: Yes. Steve, that’s a good question. And it seems that Amazon is pushing back pretty hard, has threatened to slow down construction of some office space in Seattle. We have the whole HQ2 thing. I think there was an announcement that they had moved 1,000 jobs to Boston and 3,000 Vancouver or BC. So there’s been a lot of things happening with respect to Amazon. However, at the same time, we try to track the top 10 tech companies and what they’re doing and how many open positions they’ve had. And they’ve actually added a lot of positions. So Amazon at the end of last quarter had about 4,700 open positions, and that has grown to 6,700. These are in California and Washington only. So we still see a pretty good impact from Amazon. I guess, I’d go back to the Boeing example and say that Boeing and Seattle had a give-and-take relationship, let’s say. And I think that it’s important for any major employer to have options and just so you can make sure that you keep the pressure on the local governmental agencies. I think they’re doing exactly what any major employer would do. Does that help?
Steve Sakwa: Yes. So it doesn’t sound like you’re overly worried about this head tax, I guess, getting passed that’s slowing job growth. It just sounds like a lot of posturing but ultimately doesn’t maybe create any major headwind to the city?
Michael Schall: Well, I think it’s part of again, just part of a negotiation, right? And so I think when you look at what they actually did, they actually added a couple of thousand jobs, there’s a couple thousand more job openings now this quarter versus a quarter ago. So I’d say that’s generally a positive thing, looking at Amazon specifically.
Steve Sakwa: Okay. And then just to maybe circle back, I know there’s a lot going on in the development side. And just to make sure I understand your views, so you still think supply will kind of be even in ‘19, but that by 2020, you kind of get a bigger falloff just given this rise in construction costs and more limited rent growth? Is that kind of the way you think about it?
Michael Schall: I’d put it maybe a little bit differently. We think that permits can disconnect pretty significantly from what is actually started and delivered. And so we tend to -- because you can stretch out even if you pull a permit and the question is are you pulling a grading permit, are you pulling a zoning permit or a building permit. And we’ve had examples our Hollywood deal, for example, that was picked up as a permitted transaction two years before we got a building permit. So the time lines are much longer on the West Coast. And so what we have learned is we look at permits and try to monitor starts, but we really get involved when something is under construction because we send our econ team out on a job-by-job basis and try to get a good handle for what’s being delivered. So it’s difficult for me to talk about 2020 at this point in time. Again, I think what I said earlier remains our best estimate that the trend is to go down slowly for supply to come down slowly. But again, it’s a little bit murky and it’s hard to specifically address what’s going to happen unless you’re within that two year window where it’s actually under construction and we can monitor its progress. Again, at the end of last year, we moved almost, what, 4,000 units across our footprint from 2017 to 2018. When you have that much movement, it’s hard to say exactly what’s going to happen when you have less clarity going a year or 2 out. Does that make sense?
Operator: Our next question comes from the line of Wes Golladay from RBC Capital Markets.
Wes Golladay: I want to go back to that LinkedIn study, just kind of curious what drove it. Were you more concerned about how the Bay Area with all those job openings, with all the office under construction impact labor market? Or you’ve actually seen within your properties an outward migration?
Michael Schall: Wes, it’s Mike, and anyone else can pitch in, too. Again, it was more -- it isn’t anything that we have seen in our properties that’s prompted that. Again, this is a research effort trying to understand the competitiveness of our metros versus other metros in the U.S., recognizing that over the long periods, companies have choices, people have choices, et cetera. And so it really comes back to trying keeping a handle on the competitiveness of our metros relative to other major metros around the U.S. And again -- so we found the LinkedIn study, you have job growth, you have a variety of other indicators that seem to lead us to believe that our metros are pretty competitive and are doing a good job of attracting talented workers, which is our mandate and which is what has allowed us to outperform over a long period of time.
Wes Golladay: And then, I guess, maybe what stood out the most? And it sounds like you feel a little bit better post-study. And I guess, one thing that stood out to me was that it looks like Los Angeles is losing people to the Bay Area. I actually thought it would -- might have done a little bit better concerning all the tech jobs that were going to the Southern California area.
Michael Schall: Yes. On the LinkedIn study, we reproduced what was there. So there’s no -- we haven’t added anything to that. We may have presented it a little bit differently. I guess, as we look at things -- just look at the level of job growth that we have, and again, back to the trailing 3-month numbers where we just did so well in Northern California and Seattle. We did a little bit better in Southern California. We’re 0.2% better on job growth than what our S-16 estimate was, but we’re 0.8% in Northern California and 1.1% better in Seattle. I mean, it just shows that the strength of those markets on the jobs front is pretty exceptional and a lot better than what we expected. And that’s where these companies are adding people and they’re producing the number of products. And it’s a very vibrant situation and I think unlikely to -- that trend is unlikely to change over the next couple of years. It seems like that is where wealth is being created and where companies are really doing well.
Wes Golladay: And I just had one question on development, more so for the private developer. Can you give me an estimate, how much equity they have in the development? And are you starting to see them get squeezed at all with the delays, cost overruns, rising interest rates and probably a little bit below expectations on the underwriting for market rent growth? And if they are getting squeezed, have you changed your criteria for your preferred equity investments?
John Eudy: I’ll answer the first part of that. Yes, the smaller developers are getting squeezed. The equity requirements are close to 50% with construction loans in the 50% to 55% range. And if they went into a deal, assuming cost was going to be X without having it bought out, they’re going to have an equity squeezed n the backside because costs have gone up over the last 18, 20 months, 24 months, as Mike mentioned, in the double-digit range. As far as the preferred equity deals, we’re seeing less opportunities, as Mike mentioned, because of the economics more than anything else, not necessarily anything beyond that. If expectations are development deal needs to be in the 5, 5.25-plus range and they’re really 4 to 4.25, a lot less people transact unless they’re in a position where they need to go. And that’s preferred equity deals that we’ve been focusing on because they are bought in and already funded. They’re just a little bit short on the equity capitalization. We’ll let them put us ahead of them and subordinate their interest and make it so it’s a safer deal from our perspective and still a good transaction although skinnier return on their side.
Michael Schall: Well, I would just add that, keep in mind, these are in our markets. We use our underwriting, so we’re not relying upon the developer’s underwriting. We have obviously a direct development effort, and so we do our own underwriting. This program is enabled because construction lending, again, in the 55% loan, the cost area used to be -- most of our career are somewhere in the 75% plus or minus loan to cost. So that’s what has enabled that program. And so we really haven’t changed how we look at it. But I just want to make it clear that it’s not like we’re taking someone else’s underwriting and then making the investment. We underwrite it based on how we look at the world and consistent with all the other activities around here. So I think we have a big advantage when it comes to deal selection.
Operator: Our next question comes from the line of Karin Ford from MUFG Securities.
Karin Ford: You mentioned that housing prices continue to soar in many of your submarkets. Has there been any more positive momentum on the condo conversion side for rental?
Michael Schall: Karin, it’s Mike. Yes, we are incrementally more excited about it. And as that differential between apartment values and for-sale values diverges, it becomes more and more interesting. And we are working on transactions pretty diligently. And so the answer to the question is yes, definitely.
Karin Ford: And do you think we could see something potentially transact before the end of the year?
Michael Schall: I don’t think so. I think early 2019 is probably the earliest it could happen.
Operator: Our next question comes from the line of John Pawlowski from Green Street Advisors.
John Pawlowski: I wanted to head back to Nick’s question around how you’d approach your portfolio. Under repeal of Costa-Hawkins, not exactly exploring new markets right now, but within your current footprint, would on the margin perhaps shift allocations to Southern California where the political pressures may not be as high as the Bay Area?
Michael Schall: Yes, it’s Mike. There is actually a significant number of cities in Southern California that have discussions about rent control. And so I don’t think that, that necessarily offers us a great deal of relief. And I would also say that our expectation for rent growth and the greater shortages of housing are in the north. And so I think that there’s some -- a couple of considerations. And then you have the cost of transacting and -- which is -- can be pretty substantial as well. So again, until we have greater clarity about where this is going to go, we are assuming that this will be part of maybe an effort over the next decade to reexamine the effect of rent control in the United States, not just California. And I think that we’ll come back to the same conclusions that are in all these studies, including, again, the Legislative Analyst’s report for -- which is California -- bipartisan committee in California and other areas. So I think that’s where we’re going. And again, I think that we are pretty good at transacting when we know a little bit more information. Now we’re just -- we’re guessing about what might happen. As we get closer to it, I think one of the nice things about the company is we are careful and selective and pretty opportunistic about using our capital on a thoughtful way. And I’m pretty sure that there will be opportunities that present themselves.
John Pawlowski: Makes sense. And then I wanted to go back to the permitting discussion and zoning on Oakland, East Bay metro, in particular. I understand the permitting data is far from perfect, but the trend there has been consistent acceleration in permitting growth as a percent of stock. So John Eudy, just curious if there’s been any on-the-ground inflection points in terms of zoning policies or pro-development or if it’s just drafting off of the Bay Area and nobody can put the shovel in the ground in the Bay Area or across the Bay so they go to Oakland to get deals done.
John Eudy: There are a couple of things. You all heard about SB 827, the Wiener bill that was attempting to change at the state level how things get zoned around transit-oriented locations. Came out of the chute fairly optimistic and with a lot of political-backed support and then died about a month ago in the committee level because of local control and then, again, stopping what seemed to make sense on the surface. So it’s not any easier anywhere to get developments today than it ever has been in spite of the 15 bills that were passed last year. On the margin, it -- the momentum is shifting in the direction to make it easier, but we haven’t seen any real play on that. On the East Bay you were referring to, I assume its Oakland, Alameda County. It -- they have been more open to development, which makes sense because of the cost of housing in San Francisco. And we do think that will continue to be the direction that Oakland goes in the near term as long as the economics make it work. The problem again is the details of how the transaction economically is penciled, if you will, which is the biggest challenge we have in production across the Northern California market.
Operator: Our final question comes from the line of Buck Horne from Raymond James.
Buck Horne: I’ll try to be brief. I just wanted to go back to the occupancy strategy during the quarter maybe relative to what you’re seeing in terms of job growth and supply. Just I can’t quite circle the -- why exactly you boosted occupancy so high and did things like limiting the renewal pricing in front of peak leasing, if job growth was coming in better and if you believe that supply is going to be down on a year-over-year basis. Can you just help me circle that narrative?
John Burkart: Sure. We look at it and say if you’re sitting on a vacant unit, you’re not collecting any income. And so if we can create a scenario where our residents are benefited and we’re benefited because we keep that unit occupied during a slow season, we think that’s a good thing. And I think we were able to accomplish that objective very well. We had, again, our turnover go from 46% down to 40%, which really means the majority of the boost in the occupancy was fewer move-outs, which is a great thing. In doing that, it enables us to be positioned well to meet the market as the peak season leasing comes upon us. And so we’re not looking with buildings that have occupancy issues and struggling with our market rents. We’re able to try to meet the market wherever the market is. And again, our expectations are that the market will move up in the 2% to 3% year-over-year range, but we’ll be able to meet the higher end of the, meet the market where it’s at. So the strategy makes sense from our perspective. Otherwise, we would have just ended up in the same spot but with lower occupancy for Q1 and, in essence, less income.
Buck Horne: Okay. Yes, I hear you. But it kind of reduced your available inventory going into an ability to price higher with the seasonality, I thought. But..
John Burkart: I see what you mean. Our turnover increases. Our natural expiration of leases increases pretty significantly. And so that will open up potential supply of units. And again, remember, some of these situations where we have people on renewals and we allow them to stay at a lower premium month-to-month for a short period of time, they will move out. I mean, they have the option of doing a 12-month lease if they so choose, but they chose to go for a month-to-month. It’s just extended their stay a little bit, but they’ll move out most likely during the peak leasing season. That is our expectations.
Buck Horne: Ann just quickly, did I hear you, correctly, I apologize if I missed the quoting here. But I thought you might have mentioned something about April revenue indicating a slight sequential decline from the 1Q levels. And that was driven mainly by...
John Burkart: Yes, yes, no, no. Yes -- no, you didn’t, not because of Seattle but because of occupancy decline. Yes -- no, that’s exactly what we said. And I mentioned that scheduled rent was coming in at 2.3% and that our -- in April year-over-year and that our occupancy April year-over-year gain was 30 basis points. And I did that because I wanted people to understand that we’re going from Q1 where we had a 60 basis point year-over-year increase rolling into Q2 and now we’re at 30% and will ultimately -- our expectation is our occupancy will match last year. So again, the year is now playing out as planned and we’re positioned well. But yes, there’s no doubt, so that it’s not that the market is not good. The market is performing as planned. The difference is really in occupancy and how our portfolio is positioned, kind of getting to your point, taking advantage of the peak leasing season.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Michael Schall for closing remarks.
Michael Schall: Thank you, operator, and thank everyone for your participation on the call. We look forward to seeing many of you at the upcoming NAREIT conference in June. Have a good day. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.